Operator: Greetings, and welcome to the Clean Energy Fuels’ Third Quarter 2018 Earnings Conference Call. At this time, all participants are in listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Bob Vreeland, Chief Financial Officer. Mr. Vreeland, you may begin.
Robert Vreeland: Thank you, operator. Earlier this afternoon, Clean Energy released financial results for the quarter ending September 30, 2018. If you did not receive the release, it is available on the Investor Relations section of the company’s website at www.cleanenergyfuels.com, where the call is also being webcast. There will be a replay available on the website for 30 days. Before we begin, we’d like to remind you that some of the information contained in the news release and on this conference call contains forward-looking statements that involve risks, uncertainties and assumptions that are difficult to predict. Words of expression reflecting optimism, satisfaction with current prospects as well as words such as believe, intend, expect, plan, should, anticipate and similar variations identify forward-looking statements, but their absence does not mean that the statement is not forward-looking. Such forward-looking statements are not a guarantee of performance and the company's actual results could differ materially from those contained in such statements. Several factors that could cause or contribute to such differences are described in detail in the Risk Factors section of the Clean Energy’s Form 10-Q filed today. These forward-looking statements speak only as the date of this release. The company undertakes no obligation to publicly update any forward-looking statements or supply new information regarding the circumstances after the date of this release. Company’s non-GAAP EPS and adjusted EBITDA will be reviewed on this call and exclude certain expenses that company's management does not believe are indicative of the company's core business operating results. Non-GAAP financial measures should be considered in addition to results prepared in accordance with GAAP and should not be considered as a substitute for or superior to GAAP results. The directly comparable GAAP information, reasons why management uses non-GAAP information, a definition of non-GAAP EPS an adjusted EBITDA and a reconciliation between these non-GAAP and GAAP figures is provided in the company's press release which has been furnished to the SEC on Form 8-K today. Andrew Littlefair, our President and Chief Executive Officer is out today with a bad case of the flu. We're looking forward to his speedy recovery. In that regard, joining me today is Clay Corbus our Senior Vice President of Strategic Development and named officer of the Company. Most of you know Clay who has been with Clean Energy since going public in 2007. Also joining me is Nate Jensen our Senior Vice President, Corporate Transactions and General Counsel. I will now turn the call over to Clay.
Clay Corbus : Thank you, Bob. And good afternoon, everyone. And thank you for joining us. We're pleased to report that growth in our volume continued in the third quarter of this year to 92.3 million gallon. This is a 4% increase over the same quarter of last year when adjusted for gallon that did not repeat in 2018 due to our BP sale transaction and two LNG contracts that Andrew mentioned last quarter. We saw strength in the established markets of refuse and transit as well as NG Advantage in our bulk LNG deliveries. I’ll expand on this in a moment. Mostly very productive quarter in strengthening our financial performance and balance sheet. Our revenues of $77.3 million were driven by a 7.4% increase from a year ago in our volume revenues reflecting higher pump prices and Redeem renewable natural gas revenues. Our station construction revenues trended up to $9.4 million from $5.8 million in the second quarter. We see a $9 million a quarter in station construction revenue as a good parameter of continued investment by our customers in their natural gas vehicle infrastructure. And lastly on revenue, we no longer consolidate the IMW compressor business and as such we don't report any compressor business revenues in 2018, whereas in the third quarter of 2017 IMW contributed $5.9 million in revenue. We saw a $10 million improvement in our operating results in the third quarter of 2018 from a year ago, even after taking out the asset impairment and other charges from 2017. With adjusted EBITDA of $7.3 million in the third quarter of 2018 that puts us at $47 million of adjusted EBITDA year-to-date. And if we remove the alternative fuel tax credit of $27 million from 2018, we still doubled our adjusted EBITDA in 2018 versus 2017. Our focus on improved operating results and cash flows remains a high priority and is paying off. And speaking cash flow, we ended the third quarter with $254 million in cash which allowed us to pay off in full the remaining 110 million of our 5.25 convertible notes on October 1st. Now a few weeks ago, we made an announcement that we’re not sure if it’s fully appreciated. The growth of our Redeem renewable natural gas business has been impressive and toppling from 22 million gallons in 2014, the first full year that it was available, to an expected 110 million gallons this year. Customers are waking up to the fact that they can operate their fleet on a renewable fuel that reduces their carbon footprint by at least 70% over diesel. That is easy-to-use and very competitively priced. The growing demand is from across the board. Transit agencies like LA Metro, which recently sized a four year option for Redeem, Airport by DFW, heavy duty trucking fleet by Kroger and especially refuse fleet, which understand the entire lifecycle of ways to fuel better than anyone else. A great example Republic Services, which is fueling the refuse structure to Redeem across 20 different states. No other company is better positioned to take advantage of this phenomenon than Clean Energy. The great thing about RNG is it can be nominated to flow through our existing CNG and LNG infrastructure. And with access to 530 fueling stations around the country, we can easily provide Redeem to most any new or existing customer. And the supply market is responding with a record number of new RNG production projects at dairies, other agricultural facilities and manage those, currently under construction and on work. While Clean Energy is very well positioned on the demand side, the company has made a significant amount of investment in supply of RNG is BP. Beginning with the purchase of our RNG production facilities in early 2017, and leveraging their extensive training capabilities BP is the ideal partner for Clean Energy to work with to satisfy the growing demand for RNG. Our new joint marketing agreement we recently signed with BP extends our relationship in years and in volume. While we are free to work with other RNG suppliers. This agreement will give a surety of supply to continue to market and so Redeem in greater volumes across the country for at least next decade. The new agreement allows us to benefit financially to an increased share in the environment of credit revenues on our joint demand. We are very pleased with the deep relation with BP and remain pushed on the growth of our Redeem business. So moving on to some of the other highlights during the third quarter, we obtained new customers of note and grew some established ones. We won a sever year contract to provide natural gas fueling for First Transit which operates shuttles for employees, cargo and airline passengers at Philadelphia International Airport. And it’s excited switch from diesel to CNG as part of their sustainability initiative. The agreement is expected to add 2.5 million gallons a year to power 38 new CNG buses. Our refuse business continued to expand the industry’s natural services and Redeem fuel agreement with Valley Vista Services. We also signed a large fueling agreement with existing customer Waste Connections. We opened a newly constructed private LNG station in San Bernardino, California for our customer Burrtec Waste Industries that will fuel up to 50 LNG refuse trucks and an expected volume of 600,000 Redeem gallons a year. We also signed new contracts for fuel and maintenance services with the cities of Ontario and Sacramento refuse operations. We signed a fueling agreement with Aramark, the large food and uniform services company, which is adding the first natural gas vehicle that will fuel at existing Clean Energy stations in Texas. Clean Energy was instrumental in securing grant funding for the new Aramark NGVs to the Texas Clean Fleet Program. Speaking of grants, our extensive work on securing funding from you heavy duty trucks in California has begun to pay off to the South Coast Air Quality Management District’s Carl Moyer Program which focuses on improving air quality by replacing older heavy duty diesel trucks with cleaner technologies. SCAQMD recently recommended a total of 148 heavy duty trucks to receive funding. Also on the heavy duty truck side Mountain Valley Express a freight company with operations in California, Nevada and Arizona decided to expand its fleet by purchasing the new Near Zero natural gas LNG heavy duty trucks primarily to improve their emissions profile and lower their costs. Finally, we would like to give you an update on an initiative that we launched in the third quarter. Zero Now Financing, and it’s being made possible through the support of our new partner and largest shareholder Total. The innovative program allows companies to lease or purchase heavy duty trucks equipped with new Cummins Westport Near Zero natural gas engine which reduces NOx emissions by 90% at the same cost of the truck equipped the latest diesel engine. So really we've eliminated the incremental cost of natural gas truck. If this [Technical Difficulty] wasn't a big enough incentive, customers would be able to purchase their natural gas fuel that indeed locked in discount to the price of diesel for the life of their financing. We have spent these first few months educating truck dealers across the country about the program as well as lining up participation with some of the major OEMs like Peterbilt, Freightliner and Volvo, all of which are supporting the program. We cannot overemphasize that this is the first time in our industry that the engine provider, the fuel assistance providers, the OEM, the dealers and Clean Energy, the fuel provider, have come together to jointly lower the incremental cost of the trucks in order to drive up the number of natural gas trucks on the road. Our national sales team is now in the process of meeting with dozens of trucking companies and the initial reaction has been very positive. We believe we have removed significant hurdles to make the switch to clean burning renewable natural gas with Zero Now Financing. Some of those who have been the most skeptical having engaged in serious conversations and we have signed the first agreements under the new program. Look for announcements over the coming weeks and months of new heavy duty fleets making the switch. So overall the third quarter was very productive and continued to improve our financial results and balance sheet as well as laying the groundwork for future continued growth. And with that, I'll turn the call back to Bob.
Robert Vreeland : Thank you, Clay. Our financial results for the third quarter of 2018 were in line with our expectations and we maintain our financial outlook for the full year. In particular on adjusted EBITDA our guidance for 2018 was a range of $55 million to $60 million. There is an opportunity for positive impacts to adjusted EBITDA from incremental volumes and margins from our Zero Now Finance program and our new joint marketing arrangement with BP. But presently we expect to be within the range of $55 million to $60 million for adjusted EBITDA. Volume for the third quarter of 2018 of 92.3 million gallons was 1% above last year. We saw volume growth in the third quarter in CNG led by the refuse sector and NG Advantage. We also saw growth in bulk energy deliveries. The gain in our bulk LNG deliveries in this quarter helped to offset the impact of two large LNG contracts that we noted in previous calls that were not renewed in the refuse and transit sectors. Redeem volume grew 47% in the third quarter to 28.3 million gallons versus 19.3 million gallons a year ago. Our revenue for the third quarter of 2018 was $77.3 million compared to $81.8 million in the third quarter of 2017. As Clay pointed out revenue for the third quarter of 2017 included $5.9 million of revenue from our previously consolidated compressor subsidiary that is now an equity method investment. Our construction revenues picked up in the third quarter of 2018 to $9.4 million, although slightly under 2017 due to timing and the different types of projects year-over-year. Our volume related revenue was $67.8 million versus $63.1 million a year ago reflecting higher pump prices and greater renewable natural gas revenues. Our overall gross margin in the third quarter of 2018 was $24.5 million, compared to $8.5 million last year. Now last year, our gross margin included $13.2 million of inventory provisions. Exclusive of those provisions in 2017, our 2018 gross margin has improved principally from a better margin per gallon on volumes delivered. Our gross margin per gallon was $0.26 per gallon in the third quarter of 2018 versus $0.23 per gallon in 2017, a 13% improvement. Higher pump prices and Redeem renewable natural gas sales contributed to the gains in 2018. Our SG&A of $18.4 million in the third quarter of 2018 was $6.4 million or 26% lower than a year ago. This reduction is a result of the cost saving and strategic actions we took in the third and fourth quarter of last year. The loss from equity method investments from 2018 is primarily driven from our 49% share of the Italian compressor company results, which included are former consolidated compressor subsidiary. The results of the newly formed Italian compressor company improved from the previous quarter and are expected to reach positive net income in the fourth quarter of 2018. These are not cash related operating results for us. We also recorded $1.2 million of additional facility relocation costs associated with the formation of the Italian compressor company. Our GAAP net loss for the third quarter of 2018 was $11 million, compared to a year ago GAAP net loss of $94.1 million. Last year included asset impairment and other charges of [$73 million] but all things considered a large improvement in 2018. Our adjusted EBITDA for the third quarter of 2018 was $7.3 million, compared to a negative $74.1 million in 2017. Again, noting the improvement for 2018 even when considering the 2017 had $74 million of various charges. Bottom-line our station optimization and cost saving actions put in place at the end of 2017 are helping our financial results in cash flows. Clay mentioned our cash and investment position at the end of September of $254 million, as well as the fact that we paid off our 5.25% convertible notes of 110 million on October 1st. With that paid off, we have 50 million of convertible debt due in July 2019 and another 50 million due in July 2020. We see this as a very manageable debt position looking forward. We have positive operating cash flow for the quarter, which we also expect to be positive for the full year. With that operator, we’ll now open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question is from Mr. Eric Stine, Craig-Hallum. Please go ahead sir.
Eric Stine : So just wanted to start with the expanded BP agreement. Obviously as you said demand hasn't been an issue but just kind of curious until this agreement was in place you know is there a way to quantify how maybe that was limiting your volumes and then with this in place how do you think that potentially equates to grow or what type of acceleration might you see in that going forward?
Clay Corbus : Well Eric it didn't necessarily limit what we're able to do but it did limit sometimes the duration of what we're able to offer to our customers and particularly if they saw their fleets growing because as we had contracts that were lined up we didn't know if we'd be able to get R&D beyond those contracts. And so what this really does is it allows us to open up our entire infrastructure to RNG knowing that we're going to have this maturity of supply coming through on the back end. And really for BP, the good thing about it is that as they're looking to expand their portfolio of RNG projects that they know that when they do that they're going to have downstream demand to be able to fill those projects. So it really works out well for both of us to maximize our fueling infrastructure and for them to maximize their supply infrastructure. So we do think that you'll start to see acceleration. But as with anything, just it takes a little bit of time but we're very excited about what this means over the long term for RNG.
Eric Stine : Absolutely. And can I just clarify, did I hear you say that the economics are -- will be improved now going forward. I mean my understanding is you are basically splitting the credits 50-50 with you as the transportation pathway but it sounds like maybe that's increased?
Clay Corbus : Well what it does is as -- to the extent it extends what we would be possibly paying with others when we're sharing, to this end we're just bringing it right down the middle with BP and it's fair for both of us.
Eric Stine : Okay, so it's basically same setup you're just applying it to all your volumes?
Clay Corbus : RNG volumes.
Robert Vreeland: Yes, we have a opportunity to expand the demand.
Eric Stine : Okay. Maybe next Zero Now Financing and I know it's just started but is it -- well I mean so I think it funds what 2,500 trucks, I mean is that something that based on early demand you think you fill up pretty rapidly and I'm also curious kind of what the geographic interest is in that program?
Clay Corbus : Well I’d say it is -- first of all we are very excited about it, we've got really strong demand, we've got people coming in, our fleets coming in that weren't sort of head-to-head for the natural gas upon the shelf and with this with diesel prices increasing just being out there they're sort of jumping back into the party. I think it is a big decision, it's a big commitment. So I don't want to say that we're going to fill this up in the next month but we are getting substantial interests across the board and really across the country. I would say the highest percentage of demand is probably in California just because that's where their fuel is most expensive. But we’re also seeing a lot coming in Texas and Arizona and other sort of small amounts but the majority of it really is in California. And it's good we aren't -- we signed a couple of deals, we’ve got some good orders and we do have confidentiality agreements so we're not disclosing names or volumes at this point. But we are optimistic and we’re very excited about what’s going on.
Operator: The next question is from Rob Brown, Lake Street Capital. Please go ahead, sir.
Rob Brown : Just comment a little bit on the environment with diesel prices up, something is driving it, but is there a tipping point here that you see or a price point where you think demand can increase or what sort of latest to the demand environment?
Clay Corbus : Well we actually managed demand pick-up, I mean it’s -- I don’t know that there’s any specific tipping point. But I think that people don’t think that we’re going to drop back down to 30 for oil and per barrel. And that’s really helping people sort of think all right this is a great alternative to running on diesel. And so across the board, we are seeing more demand. It’s not flying off the shelves, but I think well steady Eddie for the refuse area, transit is continuing. And then I think the Zero Now in the heavy duty trucks is -- that certainly helped the -- that certainly has helped the interest in all of that. The higher diesel, higher prices, it is absolutely find even more interest. Just as back in ‘14 when oil went the way down, there was a little bit of a pullback. So we are certainly seeing the effects of the higher diesel.
Rob Brown : And may be on the SG&A run rate. Is that kind of a sustainable level?
Robert Vreeland: It is at a sustainable level, yes.
Operator: [Operator Instructions]. We have a question from Pavel Molchanov, Raymond James. Please go ahead, sir.
Pavel Molchanov: I know that in Q3 in California, there was unusual spike in natural gas prices, because of corks in the local gas market. Has that -- had any -- did that have any impact on Q3 results or for that matter your business development efforts?
Clay Corbus : Pavel, yes. It had -- it certainly has some impact. But, as you know, we’ve got just a wide variety of supply points and between CNG and LNG that’s a little bit more CNG focused. So, there was some impact but not so meaningful that we had to call that out and that has subsided since then. So, we view it as temporary.
Pavel Molchanov: Okay, transitory issue. And then maybe a little more kind of a structural question. How many stations do you currently have nationwide and I guess thinking about CapEx, what would you expect that number to be a year from now?
Robert Vreeland: Okay. Well approximately half of that the 530 there’s some of those are customer owned, some of those are ours. So approximately half of them I’ll say are our stations. But from a CapEx standpoint, we’re in a good spot right now relative to what we can supply through our existing network. So, this year we were looking at 15 million to 20 million of CapEx and a year from now that we will be too far off of that number, it will be in that neighborhood but right now we’re very strategically building when we have the demand and we need to put in our own infrastructure, some of that CapEx is kind of maintenance CapEx, but not a real big number. So what we are putting in is very strategic toward volume growth and adding to the network in that way.
Clay Corbus : No, we won’t be doing any spec stations. No. So I think next year will be similar, maybe even a little bit more just not because of volumes, there’s growing demand.
Operator: There are no further questions at this time. I’d like to turn the floor back over to Mr. Clay Corbus for closing comments.
Clay Corbus: Great, thanks, Jerry. And thanks, everybody. We’d like to thank you for listening on the call today and look forward to having Andrew back with us an updating you on all of our progress next quarter.
Operator: Ladies and gentlemen this concludes today’s teleconference, you may disconnect your lines at this time. And thank you for your participation.